Michael O'Leary: All right. So good morning, ladies and gentlemen. Welcome to the Ryanair Full Year Results. I'm Michael O'Leary, the Group CEO. And I'm joined this morning by Neil Sorahan, the Group CFO. Earlier this morning, we published the full year results for the last 12 months ended 31 March, 2024. In that, we recorded a full year profit after tax growth of 34% to an after tax profit of €1.92 billion as traffic grew 9% to 184 million passengers, which is 20% -- 23% more than our pre-COVID traffic. The highlights for the last 12 months, start off with the traffic growth of 9% to 184 million passengers. It would have been slightly higher, but for the Boeing delivery delays. The biggest challenge was our fuel bill rose by 32%, an increase of €1.25 billion to just over €5 billion. And yet, we were still able to report an increase in profitability. Our ESG ratings were upgraded. We're an MSCI A-rated performance, Climate Disclosure Project have rated us an A minus. And we have a very strong 85% customer satisfaction score achieved over the last 12 months. We've taken delivery of 146 new Boeing 737 Gamechanger aircraft. It brings the fleet to just under 600 aircraft at the end of March. It will again have been slightly higher but we're still so struggling with Boeing delivery delays. With these new aircraft, we've opened five new bases and over 200 new routes for summer 2024 as we continue to stimulate significant growth across Europe. The big news on cost is that for the full year March '25, fuel is over 70% hedged at just under $80 per barrel, locking in a saving thus far on hedge fuel of €450 million for the full year. We declared a maiden interim dividend of €400 million payable in calendar 2024 and we would expect to do something similar again in 2025. And again, we point back to the key, which is our 300 Boeing 737 MAX 10 aircraft orders, the first of which we believe will deliver in the spring of 2027 underpins our growth strategy to 300 million passengers by the early 2030s. Just to touch briefly on fleet. Boeing delivery delays have been one of the bigger challenges this year. We expect to be operating about 158 Gamechangers by the end of July, that would be about 23 aircraft short of our contracted deliveries. There remains a risk that Boeing -- that those Boeing deliveries could slip further, but we think it's unlikely. We're in close contact with the management team led by Stephanie Pope in Seattle, who we believe is doing a good job. But these delays will mean that more of the traffic growth in FY25 will occur in the lower yielding second half of the year than we'd originally planned. In order to maximize the deliveries, we're going to continue to take deliveries of these Gamechanger aircraft through the peak months of July, August and September, but we won't be able to put those aircraft on sale because we have no certainty on the delivery dates. Lauda has also recently extended three, obviously, 320 leases from 2024 out to 2028 but without any increase in the lease cost, which is important. Travel demand across Europe in summer '24 is strong. Despite Boeing delivery delays, we will still operate our largest ever summer schedule, as I said, with over 200 new routes, five new bases. We still see in summer 2024 short-haul EU capacity is constrained as competitor airlines ground A320 aircraft for Pratt & Whitney engine repairs. The OEMs are continuing to struggle to recover their delivery backlogs. And therefore, we urge all passengers to book early for summer 2024 because we think close in seats and fares will be higher than in 2023. We expect European airline consolidation to continue with the takeover of ITA and Air Europa in Spain progressing and the likely sale of TAP in Portugal next. This consolidation, in addition to the A320 fleet groundings, which we think will constrained capacity for the next two or three years means that Ryanair is growing in a marketplace for the foreseeable future where we should have reasonably benign trading conditions and competitors' capacity constraint. That should underpin reasonable fair momentum for the next two or three summers. We'll deal with the detail of the results in the -- Neil will give detail of the results. I just want to push on to shareholder returns. You'll remember we set out a strategy recovering out of COVID that we would shepherd our cash resources very carefully. We -- the Board established a number of priorities, one of which was to restore our people's pay and agreed pay increases with all of our union partners and people, that's now been done. We also said that we would prioritize the pay down of debt, particularly in a rising interest rate environment. We're halfway through that program to repay all of our bond debt. We have two more bond repayments, one in 2025 and one in 2026, and then the group will be entirely debt free. And we would also use internally generated cash funds to fund aircraft CapEx. Again, we think that's been done. Thereafter, our policy is to maintain a strong balance sheet but where we think we have spare cash to return that to shareholders. I'm pleased this morning to announce that the Board has decided, given the current surplus cash position, they've approved a €700 million share buyback now. It was formally launched later this week. And this buyback when completed will have increased the funds that Ryanair has returned to shareholders since 2008 to just under €8 billion. In terms of our outlook, Ryanair expects to grow in FY -- in the full year March '25, by 8%, we're in a range of between 198 million and 200 million passengers. Originally, that target was 205 million passengers, but with Boeing delivery delays, we've had to cut that back. Our cost advantage over all airline competitors in Europe continues to widen even though we expect in FY25 a very modest rise in unit cost, ex-fuel unit costs due to annualized pay increases, higher handling and ATC fees and the impact of the Gamechanger delivery delays on crewing ratios and unit costs, although much of that would be substantially offset by our fuel hedge savings and our rising interest rate income. With the EU short haul capacity constrained, we see summer 2024 demand in positive territory, forward bookings are strong. Bookings are trending ahead of last year, although the pricing has been a little softer than we had expected. Some of that in Q1 is due to the move of the first half of Easter moved into March, which was Q4 of last year. And so we only have half of April in Q1. But nevertheless, in recent weeks, we've seen other airlines and Ryanair respond to a slightly weaker demand by increasing the amount of promotional fares we sell in order to hit our volume and our load factor objectives and that will continue. We still see reasonable strength in July and August bookings, the peak summer months. But April, May and June are a little bit weaker than we had originally expected. We remain cautiously optimistic that peak summer 2024, therefore, will be -- fares will be flat to modestly ahead of summer 2023. Q4 '25 will not benefit from an early Easter as it did in FY24. It's therefore far too early to be able to provide any sensible or accurate full year '25 profit after tax guidance. All we can say at this stage is the final outcome will be heavily dependent upon avoiding adverse events during 2025, such as wars, Ukraine and the Middle East, extensive ATC disruptions as we suffered this time last year or further Boeing delivery delays. And with that, I'll hand over to Neil to take us through the slide presentation. Neil?
Neil Sorahan: Thank you very much, Michael. Ryanair, as we all know, has the lowest fares and the lowest costs of any airline in Europe. We're targeting up to 200 million passengers this year, so an 8% increase subject to Boeing delays. And we continue to be number one for on-time performance and reliability, and Sustainalytics have retained Ryanair as their number one airline for ESG in Europe. Our growth over the next 10 years will be underpinned by our 300 MAX 10 order. And our financial strength and our lowest cost will facilitate us to fund this and to be the long term winner in our markets. We're number one in Europe for coverage and choice. This summer operating our largest ever summer schedule over 95 bases, 230-plus airports with a fleet of 600 aircraft. And this, coupled with our order book sees us grow to 300 million passengers by FY34. This is a very important slide. It shows that the cost advantage that Ryanair has in place over where everybody else continues to grow and to continue to widen as we supplement this further with our increasing interest income at a time when our competitors are raising expensive bonds in the market, taking on expensive new leases due to capacity constraints. Ryanair is seeing huge cost discipline. And I think this is a key advantage that we enjoy over everybody else within our markets. On the full year itself, very pleased with a 9% increase in traffic to just under 184 million passengers at a slightly higher load factor of 94%. Revenues increased strongly by 25% to €13.4 billion, driven by a 21% increase in average fare and a solid performance on ancillary revenue. We saw a 24% increase in our operating cost just over €11.3 billion, primarily due to a 32% increase in our fuel bill, so an extra €1.25 billion on our fuel bill this year. Investment in resilience and in our people, so pay restoration, pay increases and the impact of the delayed Boeing aircraft coming in there. So the end result is that we're reporting a 34% increase in profit after tax to €1.92 billion in the full year for FY24. Our industry leading balance sheet with its BBB+ rating is one of the strongest out there. I would point to our very strong €4.1 billion gross cash at the end of the year despite significant CapEx and debt repayments. And we're very pleased to see our net debt position improved from just under €600 million last year to €1.4 billion this year. This fortress balance sheet, as Michael has already said, will be further enhanced over the next couple of years as we pay down our maturing bonds. And we've got a unique advantage in that all of our Boeing 737 aircraft, 556 of them at the end of March are unencumbered and on our balance sheet, which gives us massive flexibility at a time when competitors, as I already said, are raising expensive debt in the market and taking on expensive leases. As part of our capital allocation policy, we've now restored pay for our people. We're paying down our debt. We're funding our CapEx from our internal resources and we're returning funds to our shareholders through ordinary dividends and other forms of distributions. And with that, Michael, maybe you'll take us through current developments, please.
Michael O'Leary: Yes. Thanks, Neil. So as I've already said, summer '24 demand is positive. We're running our largest ever summer schedule, and we expect to deliver 8% traffic growth through the peak summer months in a market where the EU capacity is constrained due to Pratt & Whitney engine repairs, OEM delivery delays and consolidation. That does give us -- it has been a little bit surprising that pricing hasn't been stronger. And we're not quite sure whether that's just consumer kind of sentiment or recessionary feel around Europe. But we still see peak travel demand certainly through July and August being strong. And if we have to discount our cut fares to fill a 94% load factor in April, May and June then so be it. We are continuing to work with Boeing to improve quality and accelerate our 737 deliveries. There is an outside possibility we might -- the backlog instead of being 23, might be 20 by the end of July, but it won't significantly alter the traffic growth figures for this year. I think the key message this morning though is we've already hedged 70% of our FY25 fuel at $79 a barrel. We've locked in a €450 million saving. And I think one of the big developments over the last thre months has been the number of approved OTA deals we've signed, converting OTA pirates from scamming consumers into protecting consumers and ensuring that consumers get the Ryanair lowest fares. As Neil has reported, there's another -- a final dividend of €200 million. And this morning, the Board has signed off on a €700 million share buyback. Just to touch briefly on some of those. Again, capacity continues to be -- short haul capacity in Europe is constrained, while we're operating at about, in the month of April, for example, 30% more seat capacity than pre-COVID, others are -- competitors are struggling to return to pre-COVID capacity. Wages are flat year-on-year because of their -- I did announce grounding of our 45 A320s. IAG, Lufthansa and Air France are all meaningfully down in terms of their short haul capacity recovery in summer '24 compared to summer 2019. And into that marketplace, Ryanair is operating a record schedule, capacity up 35% on 2019 pre-COVID, which means we will expect to take significant market share from our competitor airlines across Europe again this year. Touching briefly on Boeing. We have 146 Gamechangers in the fleet at the end of March. We're likely to be about 20 aircraft short by the end of July on our scheduled deliveries. We do expect to get those deliveries at kind of -- the Boeing to catch up those deliveries by the end of October, which will give us at least 20 new aircraft growth for summer '25. Boeing are also contracted to deliver us another 29 aircraft between January and April of 2025. So we may well be looking at a summer in 2025 where we have another 50 aircraft worth of growth. The growth will have slowed in summer '24, but we expect to pick that up again in summer '25. We will keep taking deliveries during the peak months, August, September, October, just so we ensure we get those aircraft in. We welcome the management changes in Seattle. We support the work that Stephanie Pope and our team are doing. Already, we're seeing improved quality on our aircraft deliveries, but sadly not yet enough progress in terms of accelerating those deliveries. We'll continue to work with Stephanie Pope, with Brian West, with Dave Calhoun to improve quality and accelerate deliveries. As I said earlier, we've extended three of Lauda's A320 leases by four years out to 2028 without any increase in the lease rates, which I think is critical at the moment where lease rates are rising significantly. We still expect MAX 7 certification late 2024, early 2025. We would then be hopeful that, that will roll out MAX 10 certification, mid to late 2025. The first deliveries on the -- for Ryanair of the MAX 10s are due in the spring of 2027. So as long as it gets certified in mid '25, we see no reason for those aircraft being delayed. Just to touch briefly on the OTA issue. We are now working with a wide number of OTAs. Critical to that -- the route with the OTAs has been that the OTAs agree that they won't overcharge our customers. They're free to charge our passenger a separate fee for their travel agency services, but then at least the customer knows what they're paying. But there's no overcharging on Ryanair airfares, no markups on Ryanair ancillary products. There's no screen scraping or digital piracy of Ryanair's -- ryanair.com Web site. And Ryanair benefits because we get the real customer e-mail and payment details, which means we can communicate with customers, pre-flight information, safety information, disruption information, all of that is critical. But by working together with some of these, the largest online travel agencies, On the Beach, eSky, TUI, loveholidays, [Indiscernible] [El Portes English] and Kiwi, we believe that together, we can offer a wider range of products and services to consumers, but ensuring that those consumers get Ryanair's fares, not inflated airfares. Sadly, there's a couple of OTAs who want to keep scamming consumers and keep overcharging them. eDreams in Spain is the most egregious example of it, not alone are they still overcharging passengers for Ryanair airfares, they're inflating Ryanair's ancillary fees. And they've also started scamming their subscribers for this prime subscriber base where they charge passengers, €65 a year for prime services. They promise them 100% discount on 100% of flights, but in the case of Ryanair, they're still inflating the underlying price of Ryanair flights and they're inflating the cost of the ancillary services. eDreams is a scam. eDreams Prime is a scam. And we believe that the CEO of eDreams, Dana Dunne or whatever his name, he should come out and explain how they justify scamming consumers, overcharging consumers and why they won't sign up to Ryanair's OTA, when all they have to do agree or to do is agree not to overcharge consumers. He won't because eDreams is a scam. There's an example of the kind of overcharges that eDreams are engaged in for both an overcharge on ancillary products, they're even -- they've even invented a cancellation fee of €60 when Ryanair flights are noncancelable. So they're charging their consumers for a fee for a service they know they can't deliver. It should be ended. We call on the consumer authorities, particularly in Spain and across the EU to outlaw this kind of egregious overcharging and scamming of consumers. In terms of the shareholder returns, good news today is the Board have approved our first -- our latest €700 million share buyback. They approved the policy in November and we expect to roll that out now. The plan would be to balance that about 50-50 among the EU shareholders and non-EU shareholders, we will -- if we can secure blocks of non-EU shareholders or blocks of non-EU held shares. Obviously, that's more attractive to us, although there's a significant premium with the ADRs. But we try to balance those share buybacks so that we continue to migrate towards an EU majority owned company. We've made significant progress in that over the last 12 months, rising from 46% to 48% [Indiscernible] [EU] at the year end. And I would point out that if you remember the Board's policy, which is we will dividend about 25% of profit after tax each year. This morning, we reported a profit after tax of €1.92 billion that should lead to a dividend of about €480 million being paid in 2025 to shareholders. And maybe, Neil, I'll hand you back, you can take us through the outlook and the summary.
Neil Sorahan: Sure. Thank you very much, Michael. So we're expecting the traffic this year will grow by over 8%, a range of between 198 million and 200 million passengers, which is heavily dependent on Boeing, not having any further delivery delays. We expect that the cost advantage that we have over everybody else is going to continue to widen, while we will have a modest unit cost increases this year. Most of our nonfuel inflation will be offset by the positive hedging that we have in place and the ever-increasing net interest income in the business. Demand remains strong and capacity is constrained in Europe due to the OEM delivery delays, the Pratt & Whitney GTF engine issues. We have, however, as Michael said, noted, some softening in pricing, particularly in Q1 of this year. So we continue to be load active, yield passive. We're stimulating fares to hit the load factors and the traffic target in the business. It's too early to give a meaningful or accurate FY25 pack guidance, but it will be very heavily dependent on peak, close-in summer bookings, where we'd still be somewhat cautiously optimistic that fares will be flat to modestly up this summer, even though we're growing capacity into the summer season. Outside of that, we have a very strong balance sheet, which coupled with our industry leading lowest cost is going to drive our fleet and market growth over the next years, which is underpinned by our Boeing 737 MAX 10 order, which will see us grow over the next decade to 300 million passengers. And with that, maybe we'll take some Q&A, please.
A - Peter Larkin: Michael, Neil, good morning. Can we begin by discussing Ryanair's FY24 ESG highlights?
Neil Sorahan: Yes. I mean it was a great year on the ESG side. We saw significant rating increases. The likes of MSCI, increased Ryanair's rating to an A from a BBB. The carbon disclosure project increased our rating to A minus, which is something that we've been trying to achieve, for the last number of years. And Sustainalytics kept us as the number one rated airline in Europe for free ESG. On the technology side, we saw another 48 Gamechanger aircrafts enter into the fleet this year. These aircraft, to put it in context, 4% more seats with 16% more fuel efficient, 40% more noise efficient. And we also invested heavily in the retrofit of Scimitar winglets onto our NG fleet, where we now have 25% of that fleet retrofitted for this summer, delivering 1.5% fuel and CO2 savings 6% quieter. And we'd hope to have the whole program rolled out to our 409 NGs over the course of the next couple of years. And then the final progress that I'd like to report is in relation to sustainable aviation fuels, where we've continued to partner with key fuel companies in big markets all across Europe. So while we have an aggressive target of fueling 12.5% of our flights with SAF by 2030, we now have secured 10% of that volume, which I think is a great achievement at this stage.
Peter Larkin: What's your latest EU ownership figure?
Michael O'Leary: I'm pleased to report that over the last 12 months, we've seen EU ownership rise from 46% to 48% as of the end of March 2024. We're getting very close to the 50% threshold. And I think that's important because what we plan to do is to reinstate voting rights for all share shareholders once we get the EU ownership back over that 50% threshold, and I hope that will be shortly.
Peter Larkin: Moving to your fleet. What's the latest update on Gamechanger deliveries?
Neil Sorahan: Well, we have a 146 Gamechanger in the fleet at the end of March. We'd hope to grow that to somewhere close to between 158 or 160 by the end of July, leaving us plus or minus 20 aircraft short for the peak summer period. But we're working very closely with the Boeing team, Stephanie Pope, Brian West, Dave Calhoun, and we'll take deliveries throughout the summer period all the way through to the end of October where we hope to have about 180, 181 aircraft in the fleet. And then at that stage, we'll focus very much on the final 29 deliveries into the spring of next year. So that we've got 210 game changers for next summer. We've also supplemented our traffic into next year by extending four Lauda -- three Lauda leases, which would otherwise have been handed back to lessors this winter. We did so on attractive lease terms.
Peter Larkin: Will you receive compensation for the Boeing delivery delays?
Michael O'Leary: We will. But the compensation is modest and clearly subject to confidentiality. It doesn't reflect the quantum of the losses that we will suffer this year as a result of having to cut back our traffic growth from 205 million to 198 million to 200 million passengers. Our focus, though, and that of Boeing is on accelerating those aircraft deliveries, recovering the delivery delays, getting the 59 aircraft deliveries in here by the end of October, end of November, and then moving straightaway onto ensuring that Boeing delivered the 29 contracted deliveries between January and April of 2025, so that we underpin strong traffic growth through summer 2025 into financial year '26.
Peter Larkin: When do you expect the MAX 10 to be certified?
Neil Sorahan: We need to first see the MAX 7 certified and then the 10 will come a few months after that. So the way things are tracking at the moment, we understand that the 7 should hopefully be certified. If not, at the back end of calendar '24 then into early 2025. That would then mean that the MAX 10 could be certified somewhere hopefully in the first half of calendar 2025. I think the launch customers in the US would then fly both aircraft next year, which will put us well on track to receive our first MAX 10 into the first half, so the spring of 2027.
Peter Larkin: Michael, looking at your summer '24 schedule. What are the key call outs?
Michael O'Leary: Very exciting growth, plan all summer long. We're opening over 200 new routes this summer. We're opening five new bases in Copenhagen, Dubrovnik, Reggio Calabria, Trieste and Tangier in Morocco. That growth is strong. Forward bookings are strong. Although, the pricing is a little bit weaker than we had thought. We think that growth will be underpinned by continued intra EU capacity constraints for the reasons we've already set out, and we see positive demand in December 2024. Pricing at this stage a little bit weak, weaker than we expected into April, May and June. But at the moment, forward bookings and pricing look strong, well ahead of 2023 for the peak months of July August.
Peter Larkin: What's your view on intra European capacity over the next few years?
Neil Sorahan: Well, I think it's going to continue to be constrained. We saw a structural change in capacity throughout COVID, a lot of capacity came out over the past few years. The M&A story is starting to play out in Europe as well with likes of the ITA, Lufthansa and the IAG, Europa deal going through competition approval at the moment. TAP likely to be up for sale in the in the next number of months as well. Closer in and this summer we're going to see a lot of A320 capacity grounded due to the Pratt & Whitney GTF engine issues, that's not going to go away quickly. That's likely to roll out to at least 2026. And then we've got the ongoing OEM delivery delays, both Boeing and Airbus behind on their deliveries and not likely to catch up this side of the 2030. And at the same time, we're taking delivery of Gamechangers. We'd hoped of 210 Gamechangers in our fleet for next summer, and then we've got our 300 MAX 10 order between ‘27 and 2034, which is going to enable us to grow to 300 million passengers over the next decade.
Peter Larkin: Moving to current trading. How are summer ‘24 bookings and fares tracking?
Michael O'Leary: As we've already said, we see demand is positive in December 2024. Pricing in Q1 is a little bit weaker than we had expected. Pricing at this early stage for Q2 looks to be a little bit stronger, but the visibility is limited. And therefore, the outcome depends entirely on the close in fares for bookings through the three peak summer months of July, August and September. I think at this stage, we're cautiously optimistic that summer 2024 fares will be flat to modestly up on summer 2023 despite almost 9% capacity growth in Ryanair.
Peter Larkin: Neil, switching to your results. You reported a PAT of 1.92 billion. What were the key drivers?
Neil Sorahan: We saw a 9% increase in our traffic to just under 184 million passengers. This year was very strong performance despite the Boeing delivery delays. Average fares put in a good performance, up 21%, driven by a record H1 last summer. We also had a very strong March just gone where we enjoyed most of Easter in that, that was offset somewhat by the OTAs taking Ryanair flights off sale in December of last year. So in Q3, which impacted fares and loads in that quarter. Ancillaries put in a very solid performance of 3% per passenger to just over €23.40 in the year. So with a strong revenue performance on costs, we saw a 24% increase in cost, driven primarily by a 32% increase in our fuel bill. So an extra €1.25 billion onto our fuel bill in the year just gone. We also saw staff costs increases that we had a full year of pay restoration. We increased investment in crew resilience and crewing ratios, some of that down to the late delivery of Boeing. And then we saw some handling increases. But I think the key thing is that the cost advantage between Ryanair and everyone else is supreme. We continue to widen the cost gap and this has been further supplemented by the strong net interest income in the group and we would expect that to continue for some time to come.
Peter Larkin: What's your current fuel hedging position?
Neil Sorahan: We're fully -- we're 70% hedged for the full year out to March 2025 at about $79 a barrel, that's about a €450 million saving over last year's hedge fuel rate, which was $89 a barrel. And it's interesting, in recent months, we've seen some weakness into FY26 and we're now 10% hedged into FY26 at about $79 a barrel as well.
Peter Larkin: What about your OpEx currency hedging?
Neil Sorahan: On the fuel OpEx, we're well hedged just over 80% at this point in time, at 1.11 on the on the euro-dollar.
Peter Larkin: Is carbon hedged?
Neil Sorahan: Yes, the full year 2025 carbon exposure is fully hedged at €76 per credit.
Peter Larkin: Switching to your balance sheet. What are the highlights?
Neil Sorahan: It's an industry leading balance sheet with a very strong investment grade rating, BBB+ for both Fitch and S&P. I'd point towards our strong gross cash at year end €4.1 billion despite the fact to be €2.4 in CapEx and well over €1 billion in debt repayments. Net debt, very strong, so up from €600 million last year to €1.4 billion at the end of this year. Although, it was somewhat flattered by delivery delays, which will now time into FY25. I think importantly and uniquely, however, Ryanair owns all of its aircraft. We've got 556 Boeing 737s fully unencumbered on our balance sheet at the end of the last financial year in March. And this is a unique advantage because it means at a time when our competitors are out there taking on very expensive leases due to a shorter capacity and raising very expensive bonds as we've seen over the past couple of weeks, Ryanair is able to fund itself out of its own cash resources and has huge flexibility due to the unencumbered fleet.
Peter Larkin: What is your CapEx guidance for FY25 and FY26?
Michael O'Leary: Due to the Boeing delivery delays, gross CapEx for FY25 would be about €2.3 billion with no aircraft deliveries then scheduled in 2025 and 2026. We expect FY26 CapEx to fall to approximately €1 billion. So significant CapEx savings for the next two years with no aircraft deliveries.
Peter Larkin: How will you fund the aircraft CapEx?
Neil Sorahan: With the strong cash balances that we have and in a rising interest rate environment, it makes sense to use our own cash. But we can be flexible and we will be opportunistic in what we do. I mean it'll ultimately boil down to what's the lowest form of financing at any given time. And thanks to our strong investment grade ratings and our unencumbered fleet, we can choose from everything, whether it's bank debt, bonds, JOLCOs. But at the moment, cash is the way to go.
Peter Larkin: Michael, moving to the OTAs. What's the latest update here?
Michael O'Leary: Well, I think the relationship with our OTAs has been transformed in the last four or five months. We've signed up probably eight of the 11 or 12 largest OTAs -- online travel agents to our approved OTA distribution. This gives those OTAs direct access into the ryanair.com Web site. They no longer have to pay intermediaries to scrape our Web site, that's a significant saving for them. They also guarantee that they'll give the consumers the real Ryanair prices for airfares and for ancillaries. They're free if they wanted to charge a separate fee for that service, that's a matter between them and their customer. But what's critical for us is we protect consumers by ensuring they get real Ryanair prices for fares and ancillaries and Ryanair gets the real payment details and the real customer information details. So if we need to communicate with those passengers, flight information, safety information, disruption information, we can do so without having some intermediary in the middle. Regrettably, the only large OTA, online travel agency pirates, still in existence is eDreams in Spain, who will continue to scam their -- our customers for inflated airfares, inflated ancillary services, and they've also introduced this new eDreams Prime service where they get -- persuade people to subscribe for €65 a year and then deliver them no benefits whatsoever if they're booking Ryanair flights or ancillaries. It's a scam. We've reported to the Spanish consumer ministry, to the EU consumer agencies, and we expect and hope that they'll take action to outlaw the consumer overcharging and scamming, which is at the heart of what my mind is the broken eDreams OTA pirate model.
Peter Larkin: What are the longer term benefits of removing unapproved OTAs?
Neil Sorahan: Well, as Michael already said, the real winner from this is the consumer and they're no longer being overcharged, they've got full transparency in what's happening. And then more on the day to day operational side of things, because we're not getting fake email addresses, because we're not getting fake payment details. It means that if there is a schedule change, if there's a cancellation, if somebody needs a refund, we're now able to deal with the customer directly and process things in a very efficient manner, and they're not missing flights that they should otherwise have been informed about.
Peter Larkin: Switching to shareholder returns. The Board approved a dividend policy in November. Any further update?
Michael O'Leary: No, we've gone ahead with that. The policy is to pay out about 20 -- 25% of net after tax profits in the following calendar year. In calendar 2024, we're paying about 400 million in dividends, 200 million was paid in February. We expect the balance of 200 million to be paid in September after the AGM. And based on this year's profitability, I think it's reasonable for shareholders to assume and expect that we will declare -- the Board will declare a dividend of 480 million payable in calendar 2025. Again, half in February and half in November. So we're living up to our commitment that once we can secure or we can generate additional spare cash, we will return that to shareholders; but only after, first, we've looked after our people; secondly, we paid down our debt; and thirdly, we have funded our ambitious CapEx programs.
Peter Larkin: You announced a €700 million share buyback this morning. What are the details?
Neil Sorahan: Yes, in line with our capital allocation policy, we feel we've hit a number of the key targets that we have in mind, debt repayment, CapEx, funding and then the restoration of pay and then pay increases for our people. So the Board were pleased this morning to announce that we're going to launch 700 million share buyback, that we’ll formally launch later this week in the open period. It'll run for a number of months, probably out towards the half year in November. And when that's complete, we'll have returned just under €8 billion to our shareholders since 2008.
Peter Larkin: Could you give more color on how the buyback will be deployed between ORDs and ADRs?
Michael O'Leary: I mean, it makes sense for us. It'll be split between EU shareholders and non-EU shareholders, that will also include the ADRs despite the fact that the premium is about 30% at the moment. We do plan to try to secure blocks of ADRs. We do need to balance the share buybacks so that we can continue to maintain a growing EU share ownership. We want to get from 48% up to 50% over the next 12 months. But as part of that buyback, we will consider blocks of ordinaries that are held by non-EU holders, particularly pre-Brexit UK holders and also holders of the ADRs within the confines of the AGM buyback authority to enhance our EU share ownership.
Peter Larkin: And lastly, what is the group's FY25 outlook?
Neil Sorahan: Just to sum up, we would target traffic growing by at least 8%. So somewhere between 198 million and 200 million passengers this year subject to Boeing delivery delays. Unit costs will remain in good shape. So we expect the cost advantage between ourselves and everybody else to widen with modest unit cost, ex-fuel inflation offset more or less by our positive fuel hedging and our net interest income increases. On fares, we'll remain load active, yield passive, so we will hit the passenger target and price accordingly. We have noticed softer pricing despite the capacity constraint in the market at the moment and we've been simulating into Q1. At this stage, with limited visibility, however, we do think that peak somewhere fairs would be somewhere between flat and modestly up despite the growth this year. So look, it's too early to give meaningful or accurate PAT guidance. We'll update as the year goes on. But I think the key is that we've got a very strong balance sheet. We've got a very low cost base. We've got an order book that's going to enable us to grow to 300 million passengers over the next number of years. And we're returning funds to our shareholders.
Peter Larkin: Michael, Neil, thank you.
Michael O'Leary: Thanks, Peter. Thank you, Neil. And by the way, ladies and gentlemen, we have an extensive roadshow underway this week. We have 12 teams of the management touring through Ireland, the UK, Continental Europe and also both the East and West Coast of America. If anybody would like a meeting, please contact us either through Citigroup, through our brokers, Davies, our Goodbody’s here in Dubliner, through our Investor Relations function headed by Peter Larkin, we'd be happy to meet you wherever you are and brief you on the Ryanair story. I think it's one of exciting growth, certainly exciting delivery, widening cost gap over our competitors, and we stand on the threshold of taking 300 Boeing 737 Max 10 aircraft that will transform our operating economics, will widen the cost advantage leadership over every other EU airline, and we think will generate profitable growth for us out to the mid 2030s. You very much. Look forward to meeting you later on this week.